Operator: Good morning, everyone and welcome to the Vistra Second Quarter 2021 Investor Conference Call. [Operator Instructions] Please note that this event is being recorded. I would now like to turn the conference over to Molly Sorg, Head of Investor Relations. Please go ahead.
Molly Sorg: Thank you and good morning everyone. Welcome to Vistra’s second quarter 2021 results conference call, which is being broadcast live from the Investor Relations section of our website at www.vistracorp.com. Also available on our website are a copy of today’s investor presentation, our Form 10-Q and the related press release. Joining me for today’s call are Curt Morgan, Chief Executive Officer and Jim Burke, President and Chief Financial Officer. We have a few additional senior executives present to address questions during the second part of today’s call as necessary. Before we begin our presentation, I encourage all listeners to review the Safe Harbor statements included on Slides 2 and 3 in the investor presentation on our website that explain the risks of forward-looking statements, the limitations of certain industry and market data included in the presentation and the use of non-GAAP financial measures. Today’s discussion will contain forward-looking statements, which are based on assumptions we believe to be reasonable only as of today’s date. Such forward-looking statements are subject to certain risks and uncertainties that could cause actual results to differ materially from those projected or implied. We assume no obligation to update our forward-looking statements. Further, today’s press release, slide presentation and discussions on this call will include certain non-GAAP financial measures. For such measures, reconciliations to the most directly comparable GAAP measures are provided in the press release and in the appendix to the investor presentation. I will now turn the call over to Curt Morgan to kick off our discussion.
Curt Morgan: Thank you, Molly and good morning to everyone on the call. As always, we appreciate your interest in Vistra, especially on this crowded earnings reporting day. As we find ourselves at the start of August already, the fact that the power markets are in a state of transition continues to be apparent. California, Texas and New York have all requested conservation at various times during the summer. June of 2021 was America’s hottest June in 127 years of records, meeting the prior record from June of 2016 by 0.8 degrees. Much of this record-breaking heat has been observed in the Pacific Northwest. North Texas was actually slightly below the 10-year average in June with April and May also being very mild. So as a nation, there is no question that temperatures have been on the rise in 2021 as have the extremes in weather conditions. These weather extremes, coupled with the greater percentage of renewable resources making up the supply stack in various markets, have resulted in a heightened sensitivity to scarcity conditions by the system operators, reinforcing the importance of thermal resources, especially natural gas and maintaining a reliable grid now and several years into the future. Power markets and systems must also balance decarbonization efforts with affordability and reliability, which is proving to be a challenge as evidenced in California and Texas. Given the uncertainty with COVID-19, especially the Delta variant and the country’s desire to return to normal, we have continued to prioritize the safety of our number one asset, our people, while delivering reliable and affordable power to our customers. The second quarter results we are announcing today reflect this dedication and focus. During the quarter, we continued our rebound from the very unfortunate impacts from Uri, most notably hardening our assets, participating in the Texas legislative and regulatory processes and refining our risk management policies. We have also begun a process to review our strategic direction and how we allocate capital. On Slide 6, we show our strong second quarter financial results. Excluding the second quarter impacts from winter storm Uri related to bill credits and higher fuels costs, Vistra delivered adjusted EBITDA from ongoing operations of $909 million comparable to its very strong second quarter 2020 financial results. Including these Uri impacts, Vistra’s adjusted EBITDA from ongoing operations was $825 million. These results were pretty much in line with management expectations for the quarter. We have similarly had a solid start in the execution of the self-help initiatives we identified when we announced our revised financial guidance in April. We currently have a line of sight to achieving the vast majority of the $500 million of self-help initiatives we previously announced. And we have achieved more than 40% through June 30. We will continue to pursue the full $500 million, but only to the extent we do not jeopardize the future risk profile and/or earnings of the company. As a result, we are reaffirming our 2021 guidance ranges for both ongoing operations adjusted EBITDA and ongoing operations adjusted free cash flow before growth as set forth on Slide 6. Importantly, excluding Uri, Vistra would be tracking in line to ahead of our pre-Uri guidance midpoint for the year. We understand that Uri happened, but we also believe it is important to recognize that the long-term earnings potential for Vistra remains intact. Turning now to Slide 7, as I mentioned at the beginning of the call, power markets have recently moved up with forward curves in both ERCOT and PJM as well as our other markets, up meaningfully over the last several months. I am sure you have heard me discuss our point of view in the past, which is our modeled fundamental view of where prices are likely to move over time, incorporating various weather conditions, new build scenarios and other key variables on a probability weighted basis. Pretty much since I have been at Vistra, our point of view has decoupled from backward-dated forward curves, especially in ERCOT. Over the years, forward markets, and to some extent, settled prices have afforded Vistra the opportunity to construct realized price curves, in line with our point of view. It is interesting that the recent positive movement in 2022, forward curves have brought pricing in line with Vistra’s point of view, especially in ERCOT. ERCOT sparks have increased primarily for the winter and summer months and we believe this is being driven by market participants reducing their overall risk tolerance following Uri and possibly the potential for market reforms, which could result in more favorable price formation for dispatchable resources in the future to support market reliability. In PJM, however, it is our view that the rise in power prices has been driven primarily by the increase in natural gas prices. As of July 30, Vistra is now 54% and 93% hedged in ERCOT and PJM, up from 40% and 50% respectively for 2022. We have similarly meaningfully increased our hedge positions in New York, New England, California and the MISO markets over the last several months taking advantage of the increase in outright power prices and spark spreads. The recent momentum in forward prices, primarily in ERCOT, supports our previously stated strong outlook for 2022. You might recall last fall at our virtual investor event in September, we offered an early outlook for 2022. Noting our view that in a commodity-exposed business like ours, looking at average adjusted EBITDA over time is a more appropriate way to evaluate the earnings power of the business. We further offered our view that we believe 2022 ongoing operations’ adjusted EBITDA could come in line with this average concept. Specifically, we noted that the average of our 2020 and 2021 ongoing operations’ adjusted EBITDA guidance midpoints was approximately $3.4 billion, which we believe could be indicative of 2022 financial performance and reflected our point of view pricing. At that time, curves were lower. With the recent uplift in forward curves, especially in ERCOT, we continue to believe 2022 adjusted EBITDA from ongoing operations could be in the range of $3.4 billion, excluding the impact of the retail bill credits from Uri, with a 60% to 70% conversion to adjusted free cash flow before growth. I am now on Slide 8. As we mentioned on our business update call in April, Vistra is taking several actions intended to address the risks we were exposed to during winter storm Uri. First, we are investing nearly $50 million in 2021 prior to the 2022 winter on improvements to further harden our coal fuel handling capabilities and to further weatherize our Texas fleet for even colder temperatures and longer durations. We intend to spend up to another $30 million in 2022 to further enhance the ability for our fleet to withstand extreme weather conditions. We have also contracted for a meaningful amount of additional gas storage, which performed well during the storm to support our gas fleet and we are installing dual-fuel capabilities at our gas steam units, while similarly increasing the fuel oil inventory at our dual-fuel sites. Last, we plan to carry more generation linked into the peak seasons, increasing the level of physical insurance we carry to protect against volatility. The absolute level of excess generation we carry will be a function of our investments, in our generation infrastructure and the ERCOT market improvements that are implemented going forward. In addition to these improvements, we are making on a standalone basis, the Texas legislature recently passed legislation that provides for mapping of the integrated gas and electric systems, which should help to alleviate gas deliverability issues by identifying critical infrastructure, allowing for weatherization and registration with the transmission and distribution utilities to ensure that those assets continue to operate in the inclement conditions and receive power in the event of rolling outages in the future. We have already seen a significant amount of registration activity since Uri. We intend to play a role in ensuring the efforts to map and identify critical gas and power infrastructure are carried out in a manner that results in the intended reduction of risk to the integrated systems. Last, both ERCOT and the Public Utility Commission of Texas are evaluating various market reform alternatives to reduce risk and ensure that dispatchable resources have adequate revenues to incent investment and serve to balance the system with a growing number of intermittent renewables. We believe any such reforms could further improve ERCOT’s risk profile for market participants and enhance the attractiveness of the market. The process is in its early stages. So, it is difficult at this time to speculate on what form these reforms might take, though very clearly, ERCOT and the PUCT are focused on ensuring that Texans have reliable electricity going forward, reinforcing the importance of dispatchable resources like Vistra’s. The most likely potential areas for reform are to the operating reserve demand curve, including reducing the price gap and extending the amount of reserves on the curve and additional ancillary services to incentivize new investment and maintain existing dispatchable generations. Before I turn the call over to Jim, I would like to comment briefly on our strategic direction and capital allocation review. As we noted on our business update call in April, the events of Uri required us to step back and rethink our strategic direction, enterprise risk and how we allocate capital. The goal is to unlock the value of our company that we strongly believe remains intact. As you likely know, the events of Uri also have setback the timeline for a potential investment grade rating to at least the end of 2022 or at some point in 2023. The strategic review will undoubtedly address our leverage targets in the pursuit of investment grade credit ratings. However, regardless of the direction we take, Vistra will always maintain a strong balance sheet that allows us to withstand extreme risk, pursue business opportunities and attract investors. We understand the urgency of this work given where our stock is trading, but we also want to be prudent in our deliberations. We intend to provide more information when we have news to discuss on our longer term strategic direction, no later than our third quarter earnings call in early November. Probably the most important point is that our deliberations have confirmed our confidence in the long-term value of our business. It is incumbent on us to put together the plan to realize this value and we intend to do so. We believe that our relatively young low-cost assets that we are de-risking will play a critical role in the energy transition for the next couple of decades, which when combined with our attractive retail and zero carbon businesses should deliver relatively consistent financial results, while generating a substantial amount of free cash flow on an annual basis. At today’s stock price, investing in our stock has to be at the top of the list of where to allocate our capital. We look forward to talking more about our strategic direction and how we plan to allocate our significant cash flow in the months ahead. I will now turn the call over to Jim Burke.
Jim Burke: Thank you, Curt. As shown on Slide 10, Vistra delivered strong financial results during the quarter, with adjusted EBITDA from ongoing operations of $825 million. Excluding the Uri-related bill credits and fuel cost adjustments, Vistra’s adjusted EBITDA from ongoing operations was $909 million, results that are comparable to our exceptionally strong second quarter 2020 financial results. Period-over-period, our retail segment results were $109 million higher than second quarter 2020, driven by the realization of our self-help initiatives in ‘21. The collective generation segments ended the quarter $213 million lower than second quarter 2020 driven primarily by lower realized prices in Texas after an exceptionally strong 2020 and lower capacity revenues. Importantly, the long-term earnings power of this company has not been affected by Uri, which was a highly unusual event. In fact, without the impact of Uri, we expect we would have been reaffirming our pre-Uri guidance today, which had an adjusted EBITDA from ongoing operations midpoint of $3.275 billion. Next year, excluding the impact from Uri bill credits, we believe we have the ability to deliver adjusted EBITDA from ongoing operations in the $3.4 billion range, with 60% to 70% conversion to free cash flow before growth. All of this to say, we continue to believe this business will have significant capital to allocate in the years ahead, which takes me to Slide 11. Last week, our Board approved our third quarter 2021 dividend of $0.15 or $0.60 on an annual basis, subject to Board approval at the appropriate times. We remain committed to maintaining a strong balance sheet, though as Curt mentioned, we believe we are still a couple of years out from a potential investment grade credit rating. In the second quarter of 2021, we did execute one capital markets transaction, issuing $1.25 billion of 4.375% senior unsecured notes due May 1, 2029. We used the proceeds to repay all of the outstanding principal amounts of the $1.25 billion, 364-day term loan A that we issued following Uri. Beyond our priority to maintain a strong balance sheet, we also view our stock is significantly undervalued. We continue to believe that share buybacks at these levels would be one of the most attractive uses of our capital, and we will continue to evaluate opportunities to reallocate capital for the remainder of 2021. Last, as we previously discussed, we are also evaluating alternatives to accelerate the pace of our renewable development using lower cost capital. All of these capital allocation tenants are being evaluated in our current review. So please stay tuned for more to come on these topics in the months ahead. In closing, while winter storm Uri was a significant one-time financial hit in the first quarter, our business has been able to get back on track and execute well in the second quarter. And with the recent uptick in forward curves in both PJM and ERCOT, our forward outlook has only improved, with management expecting that we will be able to deliver strong adjusted EBITDA and adjusted free cash flow before growth in ‘22 and beyond. We believe in the value of this business and our ability to generate significant free cash flow for allocation in the years ahead. In fact, with our long-term view that we will be able to generate $3 billion or more of adjusted EBITDA with 60% to 70% conversion to free cash flow on an annual basis, we could repurchase our entire market cap in roughly 5 years if we would allocate all of this capital to share buybacks, attractive value in our opinion our teams are committed to execution. We prioritize operational excellence, low-cost operations and disciplined financial management. As always, we are focused on delivering safe and reliable electricity to our customers, while creating value for our stakeholders over the long term. With that, operator, we are now ready to open the lines for questions.
Operator: Thank you. [Operator Instructions] And our first question today will come from Shar Pourreza with Guggenheim. Please go ahead.
Shar Pourreza: Hey, good morning guys.
Curt Morgan: Hey, Shar. Good to hear from you.
Shar Pourreza: Yes, same Curt. Just quickly, Curt, just on your comments regarding a review of your strategic direction, how you allocate capital, you mentioned in your prepared remarks. As you kind of continue to generate cash, can you maybe just speak on how you’re thinking about buybacks versus perhaps a special dividend, especially as we’re thinking about ‘22 and beyond, maybe more inorganic retail deals? Also, you kind of specifically also noted strategic direction, could that also imply that there is maybe an internal debate around a go-private scenario, if you continue to trade at these unsustainable high free cash flow yields? Could kind of go-private scenario be the avenue to realize value? Just maybe if you can elaborate a little bit more on that strategic direction comment and would you be prepared to discuss this by November or could this be pushed out? Thanks.
Curt Morgan: Yes, Shar. So thank you. That’s a great question, a lot in that question. So – but that – I mean I knew that I figured we get that question. I think after the Uri event, I think most people would expect that management team and the Board, we’re going to sit down and have a discussion about our business. And something that – obviously, it was a risk that we did not contemplate and to just brush it off and say we’re going to go at things business as usual. I don’t think that would have sat well with anybody and certainly not with me and not with the Board. So I think the first and foremost that we felt a sense of urgency. And of course, you got – you know this, I mean, our stock sold off big and more so actually than the actual math that you would put into it in terms of our shares divided into the loss itself. So there was a loss in confidence. And I understand that. But we had to rethink things going forward, and I think that’s what we’re doing. I don’t know that anything has really changed that much. But we – I think there are four main pillars that are driving us as we go through our strategic direction and as we think about allocating capital. Number one is our stock is incredibly cheap. And we went – we’ve done a lot of analysis, and we still believe that we’re significantly undervalued. And so we have to think about what’s the best way to invest in our own company. If others don’t believe in us, then we need to believe in ourselves, and we generate a lot of cash. And so I think we have to take a hard look at buying back our shares. And that ultimately adds value to the shareholders to stay in the company. And so it’s a good use of capital in our mind. We said this in our remarks, Jim and I did that we want to have a strong balance sheet. We never started this though with the idea that we had to pursue investment-grade rating. That kind of came along with it. And if we get there, that’s fine. What’s more important is we have a balance sheet that can withstand the kind of risk that we did with Uri. We were sitting here at 5 or 6, maybe 7x debt-to-EBITDA, like the IPPs in the past. We probably would be talking about a completely different situation right now than what we are. So we believe a strong balance sheet. It’s still one of the cornerstones of our company, but we’re not going to be penny wise and pound foolish. So we’re going to look real hard at that. We think dividend will continue to be a part of what we do. And finally, we did a review of our renewable and battery business. And we have one of the best businesses. We see just about every development company that’s trying to sell itself right now. We know what those teams look like. We understand NextEra has got an incredible business and kudos to them, but we’re not second to anybody else in our view. We’ve got a great pipeline. We’re using sites that have access to transmission. We have a tremendous capability in terms of development. Development is not just about going out and getting in the interconnection queue. You’ve got to have market knowledge and experience. You have to have construction experience and operations and maintenance skills. We have the economies of scale from a functional support standpoint. We bring a lot to the table. The key for us, though, is it’s a cost of capital gain. And so that’s where a partner may come into this. And so we’re going to take a real hard look at how we can accelerate the growth in that business and make sure that we have a competitive cost of capital in that business, and that could also mean that we may want to do some project financing, but certainly bring in probably some infrastructure-type investment. So that’s what we are working on. There is no disagreement with our Board. I think our Board and the management team are in lockstep. But these things take a little bit of time, and we’re sure we’re going to be prudent about it. We want to make sure whatever move we make is a long-term move. We don’t want to have a knee-jerk reaction here and then have to do something again. And I feel good, Shar, that we will likely do something no later than the Q3 call time frame. We’d like to obviously not do it on the Q3 call because that gets you guys all congested because you’ve got other things to deal with. We certainly would like to do it before that and separately, so that we can have the kind of time where we can spend time with investors and with you guys. So that’s where we are on this. We’re – we continue to believe in the long-term value of this company. I step back and think about it this way. We’ve got this incredible business that generates a tremendous amount of cash, and that cash can open up the opportunity for us to return capital. We’ve also got this burgeoning and very good growth business. And that business needs capital, and it also means a cost of capital advantage. That’s what we need to unlock. That’s what we need to solve for. And that’s what we are working on to do. And I feel very good that we’re on a good path to do that. But there is a lot of work to be done. We want to get to the market as soon as we can on this direction because we build the urgency, but we want to do it right.
Shar Pourreza: So just to reiterate, Curt, the strategic direction really isn’t about a debate on whether investors will ever properly reflect the value of an IPP as a public company and whether you’re debating whether we should go private because that’s what private is willing to pay for assets. This is more of a strategic direction, maybe a change in how you’re thinking about buybacks versus dividend versus organic growth versus inorganic growth as a publicly traded company. This isn’t a debate between whether we should go private or stay public.
Curt Morgan: Yes. No, look, we’re for sale every day. So if somebody wanted to pay an attractive price, but we’re not out with hanging our shingle out there because I’ll just tell you – I’ve said this before, you know this, . I’ve said it to you, but I don’t – I’ve been in the private setting. I know what it is. I know what it takes. I know what private investors want. And I think that there are others out there that have gone private that are realizing that if you go private, it’s the same thing that if we were public for these businesses, that it’s a long-term gain and the idea that a private equity firm would come in here and can somehow then exit in 3 to 5 years. I just don’t know who that exit would be. And the thing that makes it difficult for us is that it would take a big equity check and a significant capital raise in order to get this done. That doesn’t mean that it can’t happen, but that is not our primary direction. We want to take a direction that we control. We don’t control that direction. And so we do something that we control and that we think can unlock this value. So that’s where we’re focused.
Shar Pourreza: Fantastic. Thank you guys so much. Appreciate it.
Curt Morgan: Yes. Thank you.
Operator: And our next question will come from Stephen Byrd with Morgan Stanley. Please go ahead.
Stephen Byrd: Hi, good morning. Thank you so much for taking my question.
Curt Morgan: Hi, Stephen.
Stephen Byrd: Wanted to just talk a bit more about the opportunities for renewables that you’re seeing and just get your latest view on sort of the state of play there and as much as I love the idea of growing in renewables, it does strike me as challenging to kind of beat the economics of your own stock. And I know you just went through a long discussion of your review, so I understand that this is in process. But just would you mind talking a bit about that opportunity set in renewables? What you’re seeing broadly? I would guess there might be some degree of distress among some of those smaller players out there. But just could you talk a little bit more about what you’re seeing there?
Curt Morgan: Yes. Good question, Stephen. So look, I think I tried to say this, but I’ll make it as clear as I can. We think, at the top of our list of things to use the capital from this great cash generation machine that we have is our stock right now. And so you see the free cash flow yields. The math is pretty clear. And so – but we also want to have a strong balance sheet. I went through all these things and we do think paying a dividend made some sense. And so we are going to do that. The real challenge is can we return capital and grow what we believe is a very good and like I said, burgeoning renewables and battery storage business. I mean these are opportunities because of the sites that we have and we’re in locations like California. California is talking about 12,000 megawatts plus of batteries that they need to put in. We’ve got sites that can do that. We can’t walk away from that value proposition. We want to partner with PG&E and others in the state of California and with the state of California to help them solve their – where they are trying to take their state. And we have the sites to do that. And so I think what we’ve concluded is there are ways to do both. And that’s where we’re headed. We also want – we believe that partnering with people, who have, let’s say, an advantaged cost of capital and will put us in a position of having an advantaged cost of capital will put us in a better position. We have everything else there is to compete in this business, and we have the full suite of capabilities. So I don’t think it’s a question of whether you can do one or the other. I think we can do both. The real question is, how do we go about doing that? And that’s where we’re spending the time right now is concluding that effort, so that we can pursue both. There are great companies out there. I used NextEra as one. I think NextEra is a great company, and they have been able to do both. And I think we can do both. And so we’re going to just have to balance that. That’s where we’re headed.
Stephen Byrd: Makes a lot of sense. I wanted to follow-up on Illinois and just get your latest thoughts on kind of the state of play there, the opportunity set. It strikes me sometimes folks don’t appreciate the potential there for you all. But I’m just curious what you’re seeing on the ground? What your view is of where that may head?
Curt Morgan: Yes. So look, I mean this is an interesting one because Governor Pritzker would like to move the state of Illinois in a very progressive way to a leadership position in the area of clean generation. And he’s pushing very hard on doing that. And he sees an opportunity with an Omnibus energy bill, if that’s going to happen. And I’m interpreting he is not telling me this. I’m telling you what I’m reading through the discussions that I’ve had. And in so doing, that’s a difficult thing because he would like to see emissions rates from thermal resources to decline and part of the legislation is pushing hard on that. And of course, that creates disruption. And there are some co-ops that own coal plants have just built them or munis I should say. That just built them not too long ago, and they still have a huge amount of debt that are on a number of different municipalities. And that creates a lot of angst. And of course, there is others like us that own thermal resources, and we’re trying to sort out how does that happen. And I think even within his own party, there is a debate going on as to how you actually accomplish that. So – and that has created a bit of a divide. And I think at the end of the day, they are going to try to work together. And I believe they will because there is too much at stake here. And they will come to a reasonable conclusion to move the state forward in terms of lowering its emissions. We are in the middle of that trying to help that. The one thing that I have tried to mention to people is that if you get the Omnibus bill in place and you put the kind of stipulations in the direct auctions and require developers to actually complete their projects and get them online. That – by that very nature, will end up crowding out thermal resources and will reduce emissions without having to have a heavy handed set of criteria that forces those to happen in an unnatural fashion. And so I think if they get this bill passed and they put the right teeth in, so that they can get the development that they want of the renewable and battery resources, they will accomplish a major amount of what they want to get done. So, the real essence, though, at the end of the day, can something get done. We are cautiously optimistic that there will be a way – a path forward that everybody will come together because again, there is too much at stake. There is a lot of investment that they want to do in renewables. Our coal to solar is part of that. We feel strongly that we are solidly in the legislation. We have a very good program. It helps communities that are losing jobs from the fact that we are shutting down coal plants and investing in those communities, bringing property tax base. And we are real – we are a real company. We have real projects, and we can bring those online in a very short period of time. And so we think there is a lot in that for us as well. And so we would like to obviously help bridge this gap and work together. And that’s what we are doing. We are working together with as many people as we can to try to help bridge this divide. I think it will get done, Stephen, but you would never know. And we are cautiously optimistic, but there is a lot of stake, and we think – of course, the nukes, I didn’t even mention that. Those are very important to the state. They have made that very clear, so all that has to come together. Most of it is already together. At the end of the day, it’s just getting through this, what do we do in the long run with thermal resources and the glide path for those to exit. And I think that’s where we need to come up with a compromise, and I believe we will be able to do that.
Stephen Byrd: That’s really helpful. Thank you so much.
Curt Morgan: Thank you.
Operator: And our next question will come from Steve Fleishman with Wolfe Research. Please go ahead.
Steve Fleishman: Hey, good morning.
Curt Morgan: Hi Steve.
Steve Fleishman: Hi, Curt. Just on the – could you just remind us the current capital plan? What was in there in terms of dollars for renewables CapEx over the next few years? And maybe just also give us an update on where you stand on projects there, particularly the ones you were planning to do in Texas?
Curt Morgan: Yes. So Steve, we had said that we would put $0.5 billion – roughly $500 million. Jim, while I am answering this, Jim may be able to find the exact numbers that we have. But $0.5 billion a year, we have said for 10 years. And when we put out that 10-year view – and I think we are largely – it’s a little bit more and a little bit less in a couple of years, but we were going to reinvest that amount into renewables and batteries. And we are tracking sort of in that range and that was the investment. In terms of the projects themselves, I don’t have the list in front of me, but I know that we have, and I don’t know, Jim, if you have that list and if you have been able to find that, but if you can pull up that list of where we are on each of the different projects.
Jim Burke: Sure. Steve, we had in our Investor Day, we had talked about a capital allocation plan that would put over $600 million into ‘21. We said $650 million approximately in ‘21 and $500 million in ‘22. We scaled the $650 million down to $425 million for this year. And we did that as part of the earlier questions. We are kind of reading the market signals on where we should best allocate our capital. And we control these sites. So, these were sites that we can bring on in the timeframe that we would like. We are going to be the off-taker predominantly for the Texas sites. And so this gives us a lot of flexibility to be able to bring them on and do it in the timeframe that makes the most sense for us. As far as the sites themselves, we have both the Moss 300 and 100 which were completed and those are operating with an RA agreement from PG&E. The other sites that we are focused on are the Brightside Solar project, the DeCordova battery project, which is our hybrid project here in Texas. We have got Emerald Grove, and we have got just a little bit of spend to keep some options alive at a few other sites. That’s the bulk of our spend for this year. And we are going to continue to build out for the balance of this year. We have got some Phase 1 projects that we had announced earlier. We just slowed the path down, and we haven’t gotten going yet on Phase 2. So, the strategic review that Curt has mentioned, will obviously dictate a lot in terms of the pace and can we find a cheaper form of financing that helps us accelerate this, but still use our capital for kind of its highest return. And so we will share that as we bring the details of that going forward. But it’s the pipeline we talked about before, just a little bit slower go given we were resetting post Uri. But the projects that we have are moving forward well and the battery projects in California are performing well.
Curt Morgan: And Steve, one thing – one other thing to add on that, Andrews County is one that we pulled back when we pulled back to this lower spend. And that was initially – this is why I talked about having the capability and having the discipline in development. If you are a development company, then all you are going to do is kind of build this thing up and flip it, it’s a little bit different. But we were going to have to live with it. But we had some issues with congestion. And we have worked with Encore, and we now believe that side, you could go up to 200 megawatts. But this is the kind of stuff that we have a dedicated group on transmission that are incredible at what they do. And they can keep us out of issues by over-developing in an area and then having congestion and having the price reduced significantly. And so that – we have pulled that back, but now since we have been able to work it, it’s a project we will do later. And as Jim said, we control that site. So, that was part of why we also pulled that back.
Steve Fleishman: Okay. Just I guess, a high-level question related to the renewables is just in your slide, you mentioned the alternatives to accelerate the pace of development using a cheaper cost of capital, which makes a lot of sense and it frees up a lot more capital for buyback. In terms of then the mix of the company, if someone else is going to own some of this, like can you grow the business fast enough, quicker that even if somebody is going to own some of it, the overall company keeps moving a lot greener over the period, if someone, if you have a partner?
Curt Morgan: Yes, sure. So yes, I mean that’s a really good question and one that we have spent a lot of time. Jim and I have recently, by the way. But you are talking about whether – how do you do this, is this a JV and those things tend to have governance associated with them, and there is a lot to them. I think the way we are thinking about it, Steve, is there is a couple of ways to do this. There is – you can have an equity investment, you can also have sort of, what I will call, a structured financing where it’s – maybe it’s a preferred – convertible preferred or something like that. There is a number of ways to cut this in terms of how do you raise the capital against the spend and the value of the company that can allow you to grow this company and to maintain the ownership and the governance that allows you to control the shots, because you can’t get into a situation if you don’t have the right partner, where it can get gummed up. And that’s not what we are looking to do. What we are looking to do is get access to – there is a lot of capital out there right now and a lot of infrastructure funds and a lot of people looking for companies like us that are legitimate that have a capability. And so we think that we can raise reasonably priced capital in a governance-friendly manner to continue to allow us to grow our business. And so we will see and the extent of how much the party would have a governance position in the company will depend on the size of the capital investment and the type of capital investment, and there will be a balance that we will make there. We have got a number of good friends out there that are interested in this. And we know this because there are people – there are inbounds coming to us because I am making comments like this on calls like this. But we know that there is interest in this. And then it comes down to just what do the terms look like. But we have people that we know that were like-minded with that we can – that we could work with. And that we believe that understand what we are trying to do, which is accelerate this, not slow it down.
Steve Fleishman: Okay, great. It makes a lot of sense. Thank you.
Curt Morgan: Thank you.
Operator: And our next question will come from Durgesh Chopra with Evercore ISI. Please go ahead.
Durgesh Chopra: Hi. Good morning team. Just on the sort of the – just on the strategic review, you have mentioned the size of the check. I am just wondering like as you go into the sort of the Q3 call and as you think through this, is there a possibility to not sell the company outright, but perhaps get a like-minded partner, who sees the value in the cash flow stream, sell a portion of the assets or a portion of companies. Is that a possibility?
Curt Morgan: Yes. Absolutely.
Durgesh Chopra: Okay, perfect. And then just in terms of just the buyback you mentioned, obviously, the currencies, is heavily discounted. On the Q3 call, should we expect sort of a form of program to be announced or like what to sort of – you had this previous guidance of – I think it was $1.5 billion worth in share buyback. So, should we expect a larger program or would you have done – you have taken some actions before then?
Curt Morgan: I hesitate to get into precise numbers because we are working through this. We have a pretty big program that we already have out there for the next couple of years. I think what you are going to hear though is what we would like to do even longer term. I mean I think we would like to paint a picture, again. We have got this core business that generates a lot of cash. And I think we would like to earmark that to returning a bunch of cash. And so we want to give a picture of the future that goes multi-years and just kind of shows just how much return of capital that we can do over that period of time from that business. And then I think we also would like to paint a picture of what the growth side of our business would look like. And those two, let’s call them, two separate businesses and two separate tracks. But at some point, those two ultimately merge again. I think our biggest problem has been is that people can’t envision the company long-term. They say, well, at some point, those thermal assets are going to go away. But if you have two tracks, one that you are generating a lot of cash and you are returning it to shareholders from your core business and you are building this large burgeoning renewable and battery business. At some point, those merge again. And then you have solved your long-term terminal value because our retail business isn’t going anywhere. And we are going to grow that business. It’s how we manufacture power, electricity that matters. And we have got a great business that returns a lot of capital. And I think will continue to do so for a long time that we can return to shareholders. We also have advantaged sites in a core capability to be able to grow in renewables and batteries. And we want to be able to unlock both of those things. We think bringing in partners and additional capital is the way to do that. And then at some point in time, those two merge again and that you have this – you can then visualize this company in the long run because the supply side of our business has been essentially replaced from thermal to renewable and batteries. That’s really the vision here. And then we need to get into the details of how that happens.
Durgesh Chopra: That makes a ton of a sense, Curt. Thank you. Just a quick one here, could you – could there be share buybacks this year in 2021? Potentially, previously, you have said because of Uri and sort of the balance sheet there would be no share buybacks in 2020, but could you reevaluate that?
Curt Morgan: We could. We could reevaluate that. Yes.
Durgesh Chopra: Okay, perfect. Thank you so much. I appreciate you taking time.
Curt Morgan: Yes. Thank you. Thanks for the questions.
Operator: And this will conclude our question-and-answer session. I would like to turn the conference back over to Curt Morgan for any closing remarks.
Curt Morgan: Thanks again everybody for joining the Q2 call. I know it’s a busy – a very busy day. We tried to – we thought it was a pretty yeoman like quarter. The company has rebounded well. So, we didn’t want to take the full hour. Hopefully, this will give you some time. But we – a lot to talk about in the future, in the near-term we will be getting back to you soon with the strategic direction and the capital allocation. So, thanks again. I hope everybody is well. Take care.
Operator: The conference has now concluded. Thank you for attending today’s presentation. You may now disconnect your lines at this time.